Operator: Good day, ladies and gentlemen, and welcome to the Catalent Pharma Solutions Fourth Quarter Fiscal Year 2016 Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will have the questions-and-answer session, and instructions will follow at that time. [Operator Instructions] I would now like to introduce for today’s conference Mr. Tom Castellano, Vice President of Finance, Investor Relations and Treasurer. Sir, you may begin.
Tom Castellano: Thank you. Good afternoon, everyone, and thank you for joining us today to review Catalent’s fourth quarter and fiscal year 2016 financial results. Please see our agenda on Slide 2 of our accompanying presentation, which is available on Investor Relations Web site. Joining me today, representing Catalent are John Chiminski, President & Chief Executive Officer, Matt Walsh, Executive Vice President & Chief Financial Officer and Cornell Stamoran, Vice President of Strategy. During our call today, management will make forward-looking statements, including its beliefs and expectations about the Company’s future results. It is possible that actual results could differ from management’s expectations. We refer you to Slide 3 for more detail. Please be aware, that the forward-looking statements are based on the best available information to management and assumptions that management believes are reasonable. Such statements are not intended to be a representation of future results and are subject to risks and uncertainties. We refer you to Catalent’s Form 10-K which we will be filed with the SEC later today for more detailed information on the risks and uncertainties that have a direct bearing on the Company’s operating results, performance and financial condition. As discussed on Slides 4 and 5, on the call today, we will also disclose certain non-GAAP financial measures, which we use as supplemental measures of performance. We believe these measures provide useful information to investors in evaluating Catalent’s operations period-over-period. For each non-GAAP financial measure that we use on this call, we have included in our earnings press release, issued just a short while ago, a reconciliation of the non-GAAP financial measure, to the most directly comparable GAAP financial measure. Please note that the non-GAAP financial measures have limitations as analytical tools, and they should not be considered in isolation or as a substitute for our financial results prepared in accordance with GAAP. Now I would like to turn the call over to President & Chief Executive Officer, John Chiminski.
John Chiminski: Thanks, Tom, and welcome, everyone to our earnings call. I’m joining today’s call from our Softgel facility in Aprilia, Italy where I just spent the day meeting with my local management team. Therefore, I will only be providing some opening comments and will then turn the call over to Matt. I’ll start by discussing our financial accomplishments for the fourth quarter, which was strong as we returned to year-over-year growth in revenue and adjusted EBITDA. As you can see on Slide 6, our revenue for the fourth quarter increased 4% as reported and increased 6% in constant currency to $532 million, all which was organic with all reporting segments contributing to the growth. On a full year basis, we continue to be pleased with our top-line performance and recorded year-on-year revenue growth of 6% on a constant currency basis, despite the challenges related to the Beinheim plant suspension from November through April and the softness we experienced in the fiscal year 2016 within our MRT product portfolio. Our adjusted EBITDA of $141.8 million was above the fourth quarter of fiscal year 2015 on a constant currency basis by 7% primarily due to our newly formed Drug Delivery Solutions segment. Matt will provide some additional detail related to our segment reporting changes later in the presentation. Our adjusted net income was $64.9 million or $0.52 per diluted share for the fourth quarter. Additionally, we saw a record year from a development, revenue and new product introduction perspective both of which we view as indicators of future commercial revenue growth. Now moving to our key operating accomplishments during the quarter. During the quarter, OPKO Health's NDA for RAYALDEE was approved by the FDA for treatment of patients with conditions related to chronic kidney disease and marks the first FDA approved product using Catalent’s proprietary official Softgel technology which is a non-gelatin plant based shell formulation and the first ever extended release prescription Softgel approved. We are pleased that OptiShell was selected as the optimum delivery method for the product and that we were able to help OPKO bring this important drug to approval. We also announced the launch of our clinical supply fast chain service during the fourth quarter which enables us to operate at greater speed and with greater flexibility and efficiency in the management and distribution of global clinical supply for our customers and their trial participants. We have seen significant interest from many of our CSS customers who are looking for more flexible and innovative solutions to get to the clinic faster and are already working with major pharmaceutical customers using this approach. Finally, in the fourth quarter we began moving forward with the $34 million expansion of our Madison Biologics facility which will add a 2/2,000 liter single use bioreactor system to our capacity to meet customer demand for this fast growing business. The new suite will be capable of running either 2,000 liter or 4,000 liter batches to support late-phase clinical and commercial production for our customers using single use bioreactor technology. This expansion is an important part of our growth strategy, and builds on previous investments in our biologics capabilities. In conclusion, I want to reiterate that dynamics of our industry and market remains very favorable and our customers' needs for fewer, bigger, better supplies will continue to be drivers of long-term growth. Now I'd like to turn the call over to our Executive Vice President & Chief Financial Officer, Matt Walsh.
Matt Walsh: Thanks John. I will start my presentation by providing an update on changes we've made related to our reporting segment structure. Slide 7 shows both the view of our former reporting structure, as well as what the revised structure looks like. We recently engaged in a business reorganization to better align our internal business unit structure with our follow-the-molecule strategy. Under the revised structure which parallels and reflects how we manage our business internally, we have created a Drug Deliver Solutions or DDS operating segment which encompasses all of our non-Softgel long cycle manufacturing platform and the associated short cycle development services under one umbrella. DDS includes modified release technologies, prefilled syringes and other injectable formats, Blow/Fill/Seal unit dose development manufacturing, biologics cell line development and bio manufacturing, analytical services, micro innovation technologies and other conventional oral dose forms under a single DDS management team. Additionally, as part of the realignment, we have created a standalone clinical supply services or CSS operating segment and management team with sole focus on providing global clinical supply chain management services that aim to speed our customers’ drugs to market. Further, as a result of the business unit realignment, our Softgel Technologies operating segment is now reported separately. For financial reporting purposes, we present three financial reporting segments based on criteria established by U.S. GAAP Softgel Technologies, Drug Delivery Solutions and Clinical Supply Services and this is how we will manage and report our businesses going forward. Moving to Slide 8 in the business unit update and starting with Softgel, our Softgel business turned in a strong quarter and returned to growth of revenue and EBITDA at constant currency. Our Softgel consumer health initiative which is now in its latter stages in terms of its above base line impact on year-over-year sales growth continues to gain traction within Latin America, Asia-Pacific and Europe. As a result of this initiative, we on boarded a significant amount of new consumer health business in FY16 and have taken advantage of the available capacity within our network of 11 Softgel facilities. Our North American Softgel business also had a strong quarter posting double-digit revenue and EBITDA growth versus the prior year driven by increasing levels of development revenue and solid performance from our RX portfolio. As a remainder, our Beinheim Softgel facility is fully operational and the ramp-up of activity the facility continues to progress. We're encouraged by the positive trends in the Softgel business. We expect to see the trend continue into FY17. The update for our newly created Drug Delivery Solutions segment is shown on Slide 9. Recent investments in our Biologics business continued to translate into growth during the fourth quarter and it remains the fastest growing business within Catalent. We recorded strong revenue and EBITDA growth at our Madison facility driven by the completion of project milestones and larger commercial programs. The SMARTag technology continues to meet proof-of-concept milestones and customer interest remains strong as evidenced by our announcement of the research collaboration with Roche that we made earlier this year. We continue to believe that our Biologics business is well positioned to drive future growth and comprise an increasing percentage of our overall business. At the time of the IPO, our dedicated Biologics business was approximately 1% of sales and that have since grown to approximately 3% of sales in FY16, so more than doubling the business over approximately three year timeframe. The Development and Analytical Services business within our DDS segment which we abbreviate as DAS recorded increased revenue and EBITDA driven by higher levels of customer project activity. We continue to see strong revenue and EBITDA growth within our Blow-Fill-Seal offerings across the core business during the fourth quarter. Market fundamentals for Blow-Fill-Seal continue to remain attractive. The Modified Release business, which is the largest business within this segment delivered revenue in line with prior year levels but EBITDA that was modestly below prior year driven by unfavorable product mix. We believe that the challenges we've seen in this business during the fiscal year are behind us and fundamentals remain strong. We expect this technology to return to growth as we enter FY17. Within the Sterile Injectables revenue was modestly ahead of the prior year but EBITDA declined modestly due to unfavorable product mix. Sterile Injectables continues to be well positioned for near-term growth with the entry to animal health prefilled syringes for which anticipate commercial sales beginning in the middle part next fiscal year. In order to provide additional insight into our long cycle business which includes both Softgel Technologies and Drug Delivery Solutions we are disposing our long cycle development revenue and the number of new product introduction or NPIs. As a reminder, these metrics are only directional indicators of our business, since we do not control the sales or marketing of these products, nor can we predict the ultimate commercial success of them. We do, however, expect these metrics to offer insight into the long-term organic growth potential of our long cycle business. Due to the inherent quarterly variability in these metrics, we continue to provide the numbers on a year-to-date basis. For the fiscal year ended June 30, 2016, we recorded development revenue of $156 million, an increase of 10% versus the same period of the prior fiscal year. Also in fiscal year 2016, we introduced 184 new products, which is an increase of 12% compared to the number of NPIs launched in the prior fiscal year. As a reminder, the number of NPIs in any given period depends on the timing of our customers’ product launches which are often driven by regulatory body approvals or at the discretion of our customers and thus, this figure will continue to vary quarter-to-quarter. Now on Slide 10, our Clinical Supply Services segment posted strong organic revenue growth in the fourth quarter, driven by increased customer project activity. Even with negatively impacted by the timing related mix shifts to lower margin storage and distribution revenue from manufacturing and packaging revenue. Additionally, upfront costs related to operational efficiency initiatives also contributed to EBITDA decline during this quarter. However, we’re extremely pleased with the full year revenue performance of the segment, which was up 10% versus prior year. As of June 30, 2016, our backlog for the Clinical Supply Services segment was $292 million, a 9% sequential increase. The segment also recorded net new business wins of $106 million during the fourth quarter, representing a 10% increase year-over-year. The segment’s trailing 12-month book-to-bill ratio was 1.2. I’ll now provide more details on our financial results for the fourth quarter. And as a reminder, all the segment revenue and EBITDA year-over-year variances I will discuss are in constant currency. Turning to Slide 11. Revenue from the Softgel Technologies segment was $224.8 million for the fourth quarter of fiscal 2016, an increase of 4%, compared to the fourth quarter a year ago. This performance was driven by higher end market volume demand for consumer health and prescription products, primarily in North America, Latin America, and Asia Pacific. Softgel Technologies segment EBITDA for the fourth quarter of fiscal 2016 was $59 million, an increase of 5% versus the fourth quarter a year ago. The increase was primarily attributable to the higher end market volume demand for consumer health and prescription Softgel products across North America, Latin America, and Asia Pacific, as well as from effective absorption of fixed costs through higher capacity utilization across the network. Revenue from the Drug Delivery Solutions segment was $238.2 million for the fourth quarter, an increase of 10% over the fourth quarter a year ago. This strong performance was primarily driven by increased volumes related to fee-for-service development work and analytical testing in the U.S., and increased volumes related to our biologics blow-fill-seal offering. Drug Delivery Solutions segment EBITDA for the fourth quarter was $75.7 million, an increase of 15% year-over-year. The increase was primarily driven by increased volumes related to fee-for-service development work and analytical testing in the U.S., increased biologic volume and higher demand for products utilizing our blow-fill-seal technology platform. Revenue from the Clinical Supply Services segment was $81.5 million for the fourth quarter, an increase of 4% versus a year ago period. This growth was primarily due to increased volume related to core manufacturing packaging and storage and distribution activity. Clinical supply services segment EBITDA was $13.7 million a decrease of 7% year-on-year. The decrease was primarily due to upfront costs related to the network site consolidation to enhance operational efficiency, as well as further investments in infrastructure, project management and business development efforts. Turning to Slide 12 as we see in precisely the same format as on Slide 11, the full year performance of our operating segment both as reported and in constant currency, we will cover this slide in detail, but I would point out that we're quite pleased to report constant currency revenue growth across all three of our reporting segments and 6% growth for Catalent overall with 5 of the 6% being organic growth. This is consistent with our constant currency long-term objective of 4% to 6% revenue growth per year which we managed to deliver despite the temporary suspension of operations at our Beinheim facility for nearly half of this fiscal year. On Slide 13, we provide for your benefit a reconciliation to the last 12 months EBITDA from continuing operations from the most approximate GAAP measure which is earnings from continuing operations. Moving to adjusted EBITDA on Slide 14, fourth quarter adjusted EBITDA increased 4% to $141.8 million compared to $136.3 million for the fourth quarter a year ago. Excluding the impact of FX translation, our fourth quarter adjusted EBITDA increased 7% to $145.9 million driven by strong EBITDA performance across our drug delivery solutions and Softgel technologies segments. On Slide 15, you can see that fourth quarter adjusted net income was $64.9 million or $0.52 per diluted share compared to adjusted net income of $33 million or $0.26 per diluted share in the fourth quarter a year ago. This slide also includes the reconciliation of earnings or loss from continuing operations to non-GAAP adjusted net income in a summarized format for your reference. A more detailed version of this reconciliation can be found in our supplemental information section on the slide deck, where you will find essentially the same add-backs as seen on the adjusted EBITDA reconciliation slide. As a reminder, during our third quarter earnings call, we noted that in response to a regulatory focus on non-GAAP performance metrics we have revised the calculation for adjusted net income. We made one change to the calculation pertaining to the treatment of income taxes. We moved away from our prior convention, which included cash income taxes and replaced it with booked income tax expense as adjusted for discrete items. But please note that our GAAP reported net income, GAAP EBITDA and non-GAAP adjusted EBITDA were not impacted by this and did not change. Our fourth quarter and full year 2016 adjusted net income results are presented in this format as well as the guidance for fiscal year 2017 that we'll provide later in the presentation. Now turning to Slide 16. As of June 30, 2016 our net leverage ratio sequentially improved to 4.3 and our capital structure was essentially unchanged during the fourth quarter. I will now provide our financial outlook for fiscal year 2017. As you can see on Slide 17, we expect full year revenue in the range of $1.92 billion to $1.995 billion. We expect full year adjusted EBITDA in the range of $430 million to $455 million and full year adjusted net income in the range of $165 million to $190 million. We expect in the range of $125 million to $135 million for capital expenditures. We expect that our fully diluted share count on a weighted average basis for the fiscal year ending June 30, 2017, will be in the range of 126 million to 128 million a share. It's important to note that the revenue and adjusted EBITDA ranges to which we are guiding are consistent with our constant currency long-term outlook of 4% to 6% revenue growth and 6% to 8% adjusted EBITDA growth adjusted upward for the anticipated recovery of Beinheim. Slide 18 walks through some of the moving pieces that we considered when determining our fiscal year 2017 revenue and adjusted EBITDA guidance. The first set of bars brackets the changes that we expect to see in our base systems performance which as I mentioned earlier aligns with our constant currency long-term outlook of 4% to 6% revenue and 6% to 8% adjusted EBITDA growth. The second set of bars shows the anticipated incremental growth related to Beinheim being back online for the full fiscal year. As we alluded to on last quarter's call, the Beinheim facility will not be operating at pre-suspension levels for the entire 2017 fiscal year and this has already been incorporated into the guidance figures we just discussed. The third set of bars brackets the negative FX translation impact to revenue and adjusted EBITDA year-on-year principally driven by the decline in the pound sterling as a result of the Brexit decision. As a reminder, approximately 12% of our revenues are generated in pound sterling. However, we do have a natural hedge in place which will ensure that this FX impact is translational rather than economic. We expect the FX impact related to currencies other than the pound sterling to be generally neutral during FY17 compared to FY16. Lastly, let me remind everyone that the seasonality in our business and highlights our expected quarterly progression throughout the year. Due to the timing of our customers' annual facility maintenance periods, as well as the seasonality associated with budgetary spending decisions in the pharma and biotech industry the first quarter of any fiscal is generally our lightest quarter of the year by far, with the fourth quarter of any fiscal year generally being our strongest by far. This will continue to be the case in FY17 where we expect to generate approximately 40% of our annual EBITDA in the first half of the fiscal year with approximately 60% in the second half. It's also worth noting that in FY17 our first fiscal quarter is expected to be below the prior year period given that our Beinheim facility was operating at pre-suspension levels of production during the first quarter of FY16 which is expected to impact Q1 EBITDA by approximately $6 million. Operator we'd now like to open the call for questions.
Operator: Thank you. [Operator Instructions] And our first question comes from the line of Tycho Peterson with JPMorgan, your line is open.
Tejas Savant: Hi guys, it's Tejas on for Tycho. Just had a quick question on segment level growth rate embedded into your top line guidance, I know you said Matt that you know there's some reorganizations going on and you have decided to realign the business but we just wanted to get some color on how we should think about those segment level growth rates and how they tie into your top-line guidance?
Matt Walsh: Sure, so let's start with our Softgel business which would be on the lower end of the 4% to 6% long-term outlook and the answers I am giving you Tejas are more of long-term oriented versus anything specific related to FY17 specifically so this is really the generally over the course of let's say a strategic planning time period, we would expect our Softgel business to grow towards the lower end of the 4 to 6. We would expect our new DDS segment to grow towards the middle to higher end of that 4% to 6% and our CSS business would also grow towards the higher end of that or even potentially a little above the higher end of the 4% to 6%.
Tejas Savant: And then in terms of margins, I mean, obviously in FY16 there were some issues with higher comparator sales, also some mix issues in Blow-Fill-Seal, how should we think of the puts and takes there and how that translates into your margin expectations for 2017?
Matt Walsh: So I think if you look at the midpoint of our guidance ranges, you would see that our adjusted EBITDA margin expectations for FY17 are a little bit above where they were full year FY16, so we do expect margin appreciation in FY17 versus ’16.
Tejas Savant: And then one final one from me in terms of how we should think about capital deployment, I mean, obviously one of the questions we have been getting off late is Catalent has been relatively quiet and sort of less than I guess less acquisitive compared to a lot of people's expectations at the time of the IPO. Should we expect that to materially change in 2017? Could we see you enter areas like commercial scale manufacturing and APIs particularly within biologics, so any color on that would be helpful?
Matt Walsh: Sure, I will tell you that our level of interest and our level of effort expended on pursuing M&A activities have not changed. The deal flow that results from that is as you stated less than people's expectations, I would say it is probably less than management's expectation. But we continue to look for viable acquisition candidates that will improve our overall results and returns on capital and we will continue to do that in FY17. Just as a remainder, we completed three acquisitions in our first year out as a public company and then non-bearing FY16 but we have been just as active analyzing targets over that entire time period and that continues. So it's hard for me to predict when deals will cross the finish line and we're able to have announced complete a deal, but I can tell you in terms of capital deployment our overall strategy remains the same. We will continue to aggressively reinvest organically in the business that's our first priority to generate attractive returns on capital. Second priority would be growth through M&A to expand areas of our business where we can accelerate growth versus what we can do organically. You cited biologics as an example, I would say that that is certainly an area of the Company that we're aggressively growing organically John alluded to the $34 million capital expansion that we will be doing organically, we're also looking at external growth targets in that area as well.
Operator: Thank you. And our next question comes from the line of Ricky Goldwasser with Morgan Stanley. Your line is now open.
Mark Rosenblum: Hi. This is Mark Rosenblum on for Ricky. So can you guys just give us going back to the margin point, when we look at margins in fiscal year ’14 and ’15, they were around 24%, I know last year was impacted by currency and Beinheim. Where do you see the margins going longer term and what kind of expansion, do you think, you can achieve I guess beyond FY17?
Matt Walsh: Sure. I think the margin picture of this year and you gave part of the answer yourself Mark was Beinheim. The other piece of the equation for us is impacting margins in ’16 was the price, was the performance of the MRT product portfolio, where we experienced volume declines in some of our higher margin products. Obviously both of those situations are turning around in FY17 versus ’16. So we do see a recovery in margins coming and over a longer term horizon for the business that we would continue to see EBITDA margin expansion opportunities in the 200 to 300 basis point range as driven by principally asset utilization across our network, as well as our higher margin businesses growing preferentially faster than our lower margin businesses.
Mark Rosenblum: And then on the revenue side, the 4% to 8% growth looks really good. Can you give us sense of what type of visibility you have into it and what portion of that revenue growth is covered by orders?
Matt Walsh: Sure. So in a long cycle business, we have -- which comprises our Softgel reporting segment, as well as the vast majority of our DDS reporting segment we go into every fiscal year with approximately 75% of that volume under contract. And while our firm order window is approximately 60 to 90 days, we are getting rolling annual forecast from our customers. So we have a good idea of what volumes are coming to us. So we start every fiscal year with good visibility into what the long cycle businesses will be doing. Where we see variability inevitably ends up being in new product launches and we try as best as we can to forecast the timing of those that is certainly challenging to do as product certainly launch later than our customers say that they will. But that’s where we tend to experience the most variability in terms of the otherwise quite stable outlook that we see for the focus of 7,000 products that we manufacture.
Operator: Thank you. And our next question comes from the line of David Windley with Jefferies. Your line is now open.
David Windley: Hi. Thanks, good afternoon Matt and the group Tom et cetera. So, I wanted to clarify on the clinical services business update if I could Matt, I didn't catch if you did say how much cost you incurred related to that and if we should view that it was -- is that essentially restructuring that you are not calling out as the restructuring charge I just wanted to understand the nature of that a little bit more specifically?
Matt Walsh: So, we are consolidating one of our sites data that was announced in November of 2015. We are consolidating our B side whale site into our other UK operating sites and that's occurring this year and a little bit into next year. And it comprises a large portion of the Q4 GAAP restructuring add backs in our adjusted EBITDA table.
David Windley: Okay. So, all right so maybe I missed this, I guess I thought that that was, that you attributed EBITDA margin, I thought you attributed adjusted EBITDA margin declines to that, but is that -- was that actually just GAAP EBITDA margin decline?
Matt Walsh: No that was part of the explanation, it is not all the cost qualified for GAAP restructuring and if they don’t, we generally leave them in how we will report adjusted EBITDA. So, yes it was part of the margin explanation but it is, but some of our costs also show up in adjusted EBITDA calculations. The other parts of the margin bridge are related to the sales mix during the quarter. So we had relatively more comparative sales year-on-year and we also had more mix towards storage and distribution within the core part of the CSS offerings which, it comprised of manufacturing packaging and then storage and distribution of those two core activities we did relatively more storage and distribution revenue during the quarter which carries moderately lower margins than manufacturing and packaging.
David Windley: Got you, so to come back to the restructuring, is it possible to quantify the amounts of the restructuring that actually stayed in the adjusted P&L?
Matt Walsh: It's approximately $1.5 million I would say $1 million to $2 million and then target to midpoint.
David Windley: Okay. And then may be on the margin question more broadly, just doing the quick math it looked like if I added back the midpoints of the Beinheim numbers that you include in your bridge that an adjusted ’16 would have been about 22.3% adjusted EBITDA margin and your guidance suggests about 22.6 so up slightly which I think is consistent with what, one of your earlier answers?
Matt Walsh: Right.
David Windley: Is there, I suppose I am grasping for capacity utilization that might normally push that up more in a year or other factors that may be would be offsetting that like your may be anticipated some negative shift and mix that would be offsetting capacity absorption?
Matt Walsh: No, I think it's, I think it's more just the Company's desire to put out a very responsible set of guidance figures that the Company will be, and has a very level of confidence in meeting.
David Windley: Okay, understood. And then my last question, our yield is just a navigation item, so you give the long cycle development work number and I know that that revenue has been embedded in long cycle segments I think but maybe not all, and so I just wanted to understand, under the new segments where is that development work that, the predecessor to our long cycle opportunities that development work, where does that reside?
Matt Walsh: That resides in the Softgel Technologies segment and the DDS segment there is no development revenue within the CSS segment.
Operator: Thank you. And our next question comes from the line of Tim Evans with Wells Fargo Securities. Your line is now open.
Tim Evans: Matt would you be willing to call out how much Beinheim revenue and EBITDA you got back in Q4?
Matt Walsh: No, we don't disclose plant-by-plant economics Tim.
Tim Evans: Okay, I guess what I'm trying to get at is the range for Beinheim in your guidance bridge seems fairly wide to me and you called out that you weren't expecting to get everything back, and so my two questions I am kind of driving are how much at this point do you think you won't get back and I guess is that range in your guidance bridge reflected of some uncertainty around how much you'll get back?
Matt Walsh: So, it's less uncertainty as regards customers and products. What we're trying to be responsible about is the timing of when, not just production of certain products will resume but how the ramp will be and what sort of productivity, labor and equipment productivity progression we will see. So that's more of the driver of the range.
Tim Evans: Okay. And just thinking longer term, putting aside the timing issue, do you feel like 90% of that earning will come back, is it lower than that just some sort of estimate of how much you ultimately may feel comfortable that you will get back.
Matt Walsh: So that's a difficult question to answer at this point, what I can say is the estimates that we have put into our FY17 guidance are imminently achievable, we have a high level of confidence in the Beinheim projections that are part of that guidance.
Operator: Thank you. And our next question comes from the line of Derik De Bruin with Bank of America/Merrill Lynch. Your line is now open.
Derik De Bruin: Hi, can you give us a little bit more specific guidance on net interest expense and the tax rate I mean and falling sustained growth issued by you were spot on in terms of your EBITDA forecast for '16 in terms of center of your guidance, but I am sort of falling below on net income line, so can you just sort of give us a little bit more guidance on this specific on how to look about those two items into net interest expense and tax?
Matt Walsh: Yes. So for net interest, we think we'll see something in the range of $90 million to $93 million this year FY17, and our effective tax rate will be in the range of 30% to 32%.
Derik De Bruin: Okay, so the net interest expense are quite a bit higher than I had modeled and you have not paying down debt not sure or I am just like I am just curious why the increase without above ’16?
Matt Walsh: It's possible that the -- any changes in net interest expense are not as much driven by our actual bank debt as they are by the imputed interest expense related to capital leases Derik that's the only thing I am thinking of.
Derik De Bruin: Okay, that is the biggest all right that is the biggest delta in my model okay that is helpful thanks. So, and can you just talk a little bit about the -- you called out in the drug development segment you had a milestone payment this quarter, can you sort of call that out and should we assume that doesn't repeat for next year when you're doing for modeling purposes?
Matt Walsh: We didn't have any onetime milestone payments on the order that we have typically discussed which would be things like contract amendments or contract termination fees that would be sporadic in nature and would be the kind of thing you'd want to take into account as regards modeling. The milestone payments that I referred to in the prepared comments are absolutely normal course and we're looking to grow those just as part of our normal operations and where we I think I referenced that in the prepared comments was within in relation to our biologics business which that's how they're recognizing in revenue in the SMARTag business and the portion of our biologics manufacturing business, so that will absolutely continue.
Derik De Bruin: And then one final question, you were talking about how's the mix going I mean with things like the new consumer products and you're talking about going at the animal prefilled syringe market I mean are those -- are you seeing increased mixed pressure on the overall business?
Matt Walsh: We're not -- so I guess I would start by saying that we're not seeing any margin pressure within individual verticals. We may see mix moving quarter-to-quarter. I think in our Softgel business, our overall consumer health presence is growing that can come at lower margins, if or excluding the impact of Beinheim on the numbers this year what you would have seen was the margin impact of more consumer health business being offset by asset utilization that ended up being what we saw for ’16. For ’17, we are seeing that sort of stabilize ’17 versus ’16 within the Softgel business with the Beinheim recovery going to be overall margin accretive for the Softgel business. The only other place where we see mix issues meaningfully impacting the number quarter-to-quarter would be in the clinical supply business. Where we may have lumpy performance on comparative sales, which is a very low margin business versus the rest of the core offering. But we factored that all into our guidance for FY17. So we think we’ve got it cover based on the way that we see our market progressing now.
Derik De Bruin: And then just one final question and then I’ll jump out, once again looking at sort of a net income calculation. There is a lot of variability in the other income expense net item there. And that’s once again to be able to delta to sort of a bit where my numbers are is there any sort of general guide on that for the year?
Matt Walsh: Well, so what tends to move that other expense adjustment line item is a non-cash foreign currency move in danger losses on what is often inter-company debt and so it ends up being pretty unpredictable there even for us.
Operator: Thank you. And our next question comes from the line of John Kreger with William Blair. Your line is now open.
John Kreger: Matt, can you just talk a little bit about cash flow. It looks like your free cash flow in the year ended up at about 18 million. Can you give us a sense about what that number might have been on a normalized basis without Beinheim or put another way? What sort of free cash flow level would be a reasonable expectation for ’17?
Matt Walsh: So when we think about that John. We would generally target approximately 70% to 80% of our adjusted net income this year resulting in free cash flow.
John Kreger: And then ’17 would be, no reason to think, ’17 would be outside of that typical range?
Matt Walsh: No. It should be consistent.
John Kreger: And then can you talk maybe just expand a little bit more on the segment realignment that you walked us through, what drove the timing and was that purely just a change in your reporting structure or is there an underlying reorganization that took place as well?
Matt Walsh: Well, it’s the underlying reorganization of how we manage the business internally that prompted it. And so during the course of the year, the businesses that now report in the DDS segment are under one business leader within Catalent that Barry Littlejohns is the President of the DDS division. And during the course of the year, he has been afforded more responsibility for those units. So it just make simply that we would then reorganize the reporting structure that way. I actually think this is a very nice improvement. Not just because just the way we manage the business, but because now we have more evenly sized segment, if you recall the prior structure had one relatively large segment and two pretty small ones. Now we’ve got two segments that approximately the same size and the Clinical Services segment being a service oriented short cycle segment on its own that’s now easy to see. So I think it's a good development not just because it is how we manage the business but I think it provides better insight for people that are following the Company or trying to follow the Company.
John Kreger: One last one, can you talk a bit about your facility capacity utilization across the portfolio, are there particular areas where you're underutilized so we could expect some margin gains and are there areas where we should be thinking about a step up in CapEx to add more capacity? Thanks.
John Chiminski: Sure John. So, we talked about the capital expenditure project to expand our capacity and biologics. We put just under $30 million into the Madison facility just a couple of years ago, that capacity is more or less already called for and the investments that we'll make will enable us to continue to accommodate the strong organic growth that we see within the biologics business. So that's good. I expect to see increasing asset utilization in the DDS segment specifically within the MRT business the Winchester expansion which we made over the last couple of years we will be able to grow into that over the next probably the next three to five years. So we should see good margin expansion opportunity because of that. And then I think the rest of the network is pretty balanced.
Operator: [Operator Instructions] And our next question comes from the line of Sean Wieland with Piper Jaffray. Your line is now open.
Sean Wieland: So in the modified release business you cited last quarter some lower customer demand, I want to know how did that play out in the fourth quarter and can you give us what the growth rate was for the year in the modified release business?
John Chiminski: So I will start with the first part Sean. So, for the first three quarters of the year you're quite correct that we saw volume declines in some of our higher margin products in the controlled release segment that started turnaround in the fourth quarter and more normal order patterns returned for those products during the quarter that gave us confidence when we were putting together the FY17 guidance that we would see order patterns in FY17 that more parallels FY16 and years prior and the patient consumption for those medications because part of -- a significant part of reasons why we were seeing lower volumes in the first three quarters of FY16 were supply chain issues and our customers had sufficient inventories of the products we were making. Those inventory stores have been worked down and we expect in FY17 that our manufactured volumes were closely parallel, patient consumption of the product and started to see and the confidence that we have that that will be the case is the actual volumes that we manufactured in Q4. And in terms of the growth rate year-on-year across the entire MRT portfolio was down about 5% to 7% year-on-year and we expect in '17 that will effect, that growth will rebound in the MRT business, it will look more like our long-term expectation of 4 to 6, what is good about that is that we are thinking these are relatively higher margin products in the controlled release segment, so the bottom-line impact should be good.
Sean Wieland: Okay. And then the other piece that you have moved around in the reorganization is the development in analytical services out of I guess went into DDS now, is that right?
John Chiminski: That is correct.
Sean Wieland: What's the growth profile of that segment?
John Chiminski: That should be towards the higher end of our 4 to 6 expectation maybe even a little bit beyond the high-end.
Operator: Thank you. And I am showing no further questions at this time, I'd like to turn the conference back over to Mr. John Chiminski for any final remarks.
John Chiminski: Thank you, operator. In conclusion, we're pleased with the favorable trends in our base business and a return to year-over-year growth in revenue and EBITDA in the fourth quarter. We look forward to carrying this momentum in the fiscal year 2017 as we turn the page on Beinheim and remain well positioned and capitalized in our industry leading partnerships. Thank you.
Operator: Ladies and gentlemen, thank you for participating in today's conference. This does conclude today's program. You may all disconnect. Everyone have a great day.